Operator: Hello, and welcome to the Scorpio Tankers Inc. Third Quarter 2025 Conference Call. I would now like to turn the call over to James Doyle, Head of Corporate Development and IR. Please go ahead, sir.
James Doyle: Thank you for joining us today. Welcome to the Scorpio Tankers Third Quarter 2025 Earnings Conference Call. On the call with me today are Emanuele Lauro, Chief Executive Officer; Robert Bugbee, President; Cameron Mackey, Chief Operating Officer; Chris Avella, Chief Financial Officer; Lars Dencker Nielsen, Chief Commercial Officer. Earlier today, we issued our third quarter earnings press release, which is available on our website, scorpiotankers.com. The information discussed on this call is based on information as of today, October 30th, 2025, and may contain forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statement disclosure in the earnings press release, as well as Scorpio Tankers' SEC filings, which are available at scorpiotankers.com and sec.gov. Call participants are advised that the audio of this conference call is being broadcasted live on the Internet and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations page of our website for approximately 14 days. We will be giving a short presentation today. The presentation is available at scorpiotankers.com on the Investor Relations page under Reports and Presentations. The slides will also be available on the webcast. After the presentation, we will go to Q&A. [Operator Instructions] Now I'd like to introduce our Chief Executive Officer, Emanuele Lauro.
Emanuele Lauro: Thank you, James, and good morning, everyone, and thanks for joining us today. We are pleased to report another quarter of strong financial results. In the third quarter, the company generated $87.7 million in adjusted EBITDA and $72.7 million in adjusted net income. The product tanker market continues to benefit from enduring structural trends like strong demand for refined products, evolving trade patterns and long-term shift in global refining that are lengthening voyages and increasing ton miles. Those dynamics have been reflected in freight rates, which have strengthened over the past quarters. The company is financially, operationally and commercially strong. Our focus is clear, building a shipping company that is investable through the cycle. Today, our liquidity stands at approximately $1.4 billion, including cash, undrawn revolving credit and our investment in DHT. Over the past 4 years, we've reduced our daily breakeven from roughly $17,500 per day to $12,500 per day. And with our recent decision to repay amortizing debt, we expect that figure to fall further to around $11,000 per day. Today, we also announced a 5% increase in the quarterly dividend. And going forward, we'll continue to review the dividend at least annually. Our goal, as mentioned, is to make the dividend sustainable, durable and steadily growing over time, rewarding shareholders while building a company that remains investable through the cycle. Shipping will always be volatile, that's its nature. But through our efforts of strengthening the balance sheet, lower our breakeven and increase charter coverage, we've meaningfully reduced that volatility. Looking ahead, we remain optimistic as our outlook for both crude and refined products remains constructive. With a modern fleet, robust liquidity and a conservative balance sheet, Scorpio Tankers is well positioned to navigate uncertainty and continue creating long-term value for shareholders. With that, I'll turn the call to James for a brief presentation. James?
James Doyle: Thanks, Emanuele. Slide 7, please. Product tanker rates remain firm and have increased over the last week with MRs earning around $28,000 per day and LR2s about $35,000 per day, levels that continue to generate substantial free cash flow for the company. Refining margins have strengthened, inventories remain low and fourth quarter demand, excluding fuel oil is expected to be nearly 900,000 barrels per day higher than last year. With seasonality turning in our favor, a strong crude market and several near-term catalysts emerging, the backdrop for product tankers looks increasingly constructive as we move through year-end. Slide 8, please. Despite significant refinery maintenance, over 8 million barrels per day offline in September and 10 million in October, seaborne exports have continued to rise. In September, excluding Russian volumes, product exports averaged 20 million barrels per day, approximately 600,000 barrels per day higher than the same month last year. Slide 9, please. A rise in drone attacks on Russian refinery capacity has reduced refined product exports from 1.5 million barrels per day to about 1 million, a decline of 30%. At the same time, OFAC's new sanctions on Rosneft and LUKOIL are expected to further disrupt Russian exports. Even before these measures took effect, Brazil's imports of Russian barrels had fallen sharply from 250,000 barrels per day to just 50,000 with much of the shortfall replaced by U.S. supply, a shift that lifted MR rates across the Atlantic Basin. In addition, importers of Russian products begin seeking alternative sources, product tanker rates could tighten further. Slide 10, please. Increasing sanctions from OFAC, the EU and U.K. have made exports more challenging. The rise in crude on the water has been driven primarily by sanctioned countries, Iran, Venezuela and Russia, which together accounted for roughly 70% of the increase. The number of sanctioned vessels continues to grow, now representing nearly 8% of the MR fleet, 14% of the LR2 fleet and 34% of the Aframax fleet. These vessels are, on average, almost 20 years old and are unlikely to return to non-sanctioned trades. As sanctions expand and enforcement tightens, additional vessels will likely be absorbed into these trades, further limiting available tonnage for legitimate cargoes. In short, the sanctioned fleet is large, old and increasingly isolated, effectively shrinking the number of ships competing in the mainstream market. Slide 11, please. We continue to see closures in global refining capacity. Over the past 5 years, net capacity growth has been only 300,000 barrels per day, driven by additions in the Middle East and offset by closures in Europe and North America. In California alone, 250,000 barrels per day of capacity is scheduled to close this year and in Q2 next year, which could effectively double U.S. West Coast product imports largely coming from Asia. These refinery closures and changes have been a key driver in ton-mile demand growth for product tankers. Slide 12, please. In October, China announced new fees on vessels calling at U.S. ports. As of this morning, it appears that President Trump and Xi have agreed to postpone both the USTR tariffs and the Chinese port fees for up to a year. If these measures were to return, China accounts for only about 3% to 4% of the global seaborne refined product market, and we would not expect any material impact on the overall market. We will continue to monitor the situation closely. Slide 13, please. The product tanker order book currently stands at 18% of the existing fleet, a figure that may appear elevated at first glance, but context matters. Newbuilding activity has slowed considerably. Year-to-date, only 44 product tankers have been ordered. LR2s now make up almost half the current order book. However, 49% of LR2s currently on the water are trading crude oil, a trend we expect to continue. In short, effective fleet growth in clean products looks far more modest than headline numbers suggest. Slide 14, please. As shown in the left-hand chart, a 20-year-old vessel generates 50% fewer ton miles than a modern one, reflecting limitations in trading opportunities, efficiency and regulatory access. The drop-off is even steeper, over 75% if the vessel was not involved in Russian trade. This isn't a short-term story. Between 2003 and 2010, we saw a significant expansion of the product tanker fleet. The result, a large cohort of vessels now approaching or surpassing 20 years of age. The chart on the right makes this clear. Including the order book, 17.8% of the fleet is over 20 years old. By 2028, that figure climbs to 31%. The implications are structural. The fleet is aging, utilization is falling and effective supply is tightening even without a dramatic increase in scrapping. Slide 15, please. Given the age profile of the fleet and the high share of LR2s trading crude, actual fleet growth could be -- could prove lower than headline expectations. Assuming no decline in utilization for vessels older than 20 years and a portion of LR2 newbuilds trading crude, effective fleet growth could average around 3.5% a year. However, adjusting for lower utilization on older ships, effective fleet growth could fall closer to 1% per year. In contrast, ton-mile demand has increased more than 20% since 2019, driven by refinery rationalization, shifting trade routes and ongoing dislocation of global energy flows. We expect ton miles to continue to outpace supply. In both the short and long term, the market fundamentals remain strong, driven by structural shifts in global refining, longer trade routes and an aging fleet. With that, I'd like to turn it over to Chris.
Chris Avella: Thank you, James, and good morning or good afternoon, everyone. Slide 17, please. This quarter, we generated $148.1 million in adjusted EBITDA and $72.7 million or $1.49 per diluted share in adjusted net income. Our operating cash flow, excluding changes in working capital was over $135 million this quarter and approximately $375 million on a year-to-date basis. We are pleased to announce both an increase in our quarterly dividend in addition to new agreements with our lenders to prepay the principal amortization on certain of our loans for $154.6 million in aggregate. This prepayment is expected to take place in the fourth quarter of 2025 and represents all of our scheduled loan amortization for 2026 and 2027. The principal and interest savings resulting from this prepayment will further reduce our cash breakeven levels, which include vessel operating cost, cash G&A, interest payments and commitment fees and regularly scheduled loan amortization to approximately $11,000 per day over this period. In addition to this, we continue to be opportunistic with our investment in DHT, having sold 5.3 million shares in September and October at over $12.50 per share. This is an almost 20% return on investment when factoring in dividends received. The chart on the right shows our liquidity profile. As you can see, we have access to over $1.4 billion in liquidity as of today. Our liquidity consists of cash of $627 million, along with $788 million of drawdown availability under 3 revolving credit facilities. Slide 18, please. The chart on the left shows the progression of our net debt since December 31, 2021, which has declined to $2.7 billion to a net debt balance of $255 million. On a pro forma basis, our net debt position is $34 million, which takes into account the expected receipt of the October higher payment from the Scorpio Pools, which are expected within the next 2 weeks and the net proceeds from the sales of 3 vessels, which are expected to close in the fourth quarter. Chart on the right breaks down our outstanding debt by type. Starting at the bottom is our $69 million of legacy lease financing obligations on 3 vessels with Ocean Yield. These leases are the most expensive financing in our debt structure with margins of over 400 basis points. In June and July, we submitted notice to exercise the purchase options on these vessels. Two of the purchases are scheduled for December for $23.4 million each and 1 purchase is scheduled for February for $18.9 million. In the middle is our secured bank debt with a lending group dominated by experienced European shipping lenders whom we have strong relationships with. As I mentioned, we expect to prepay $154.6 million of this debt in the fourth quarter of 2025. As a result of this prepayment, we will have no scheduled principal amortization on our existing debt for all of 2026 and 2027. Further to this, $290 million of our $615 million of secured borrowings is drawn revolving debt, an important tool that we can use if we want to repay the debt yet maintain access to the liquidity in the future. At the top is our $200 million 5-year senior unsecured notes, which were issued in an oversubscribed offering in the Nordic bond market in January of this year at a 7.5% coupon rate. Slide 19, please. By the end of the first quarter of 2026, we expect to make a total of $234 million in unscheduled prepayments on our debt. $14 million of this amount has already been paid in advance of the pending sales of 2 vessels. And as I mentioned, we have committed to repay $65.7 million to exercise the purchase options on 3 lease finance vessels, along with $154.6 million across 4 different credit facilities to cover our scheduled loan amortization for 2026 and 2027. The chart on the right is our dry dock estimates through the end of 2026. Our forward dry dock schedule is light after having undergone the special surveys on over 70% of our fleet in the last 2 years. Slide 20, please. Once we complete our unscheduled debt prepayments, our cash breakeven rates are expected to be at the lowest levels in the company's history. The chart on the left shows that these expected cash breakeven rates are lower than the company's achieved daily TCE rates dating all the way back to 2013, with the closest point being the aftermath of the COVID-19 pandemic when oil consumption was at lows not seen in decades. To illustrate our cash generation potential at these cash breakeven levels, at $20,000 per day, the company can generate up to $315 million in cash flow per year. At $30,000 per day, the company can generate up to $666 million in cash flow per year. And at $40,000 per day, the company can generate up to $1 billion in cash flow per year. This concludes our presentation for today. And now I'd like to turn the call over to Q&A.
Operator: [Operator Instructions] First question comes from Omar Nokta with Jefferies.
Omar Nokta: Thanks for the update. Obviously, very good detail. And clearly, Scorpio is in a very strong financial position as kind of outlined throughout the call here and with Chris here on the breakeven. And just as we kind of think about Scorpio here, you've been building cash, paying down the debt, breakeven is obviously coming down. You're putting Scorpio in the strongest financial position in its history and preparing for, say, the unknown given the geopolitical environment. Just maybe kind of thinking about the platform and how it is at the moment, do you feel like you're building towards something here, something more significant for this balance sheet to be put to use at some point down the line? Or do you think this is a bit more of a new normal for Scorpio to be in a net cash position long term with an eye on keeping that dividend sustainable throughout the cycles?
Robert Bugbee: It's a great question, Omar. So, I think that can answer the last bit first, that's the easy one. We're very convinced that the right thing we should do is to maintain a regular dividend and have a dividend that is clearly sustainable. And so to do that, we [Technical Difficulty] a strong balance sheet, and we have to be able to show like we can do and as Chris has gone through, that we can clearly go through the absolute bottom of the cycle and still maintain that dividend. The second aspect as to whether we are building things for long term, et cetera, et cetera, is the honest answer is that we've been focused on getting the debt down, getting the cash breakeven down, getting our self into the position that we're in right now. Chris is indicating that very soon we'll start to move to net debt negative or building of cash. And that simply by definition, gives you -- why you maintain overall discipline gives you tremendous options. It allows you to go into -- at any different point in the market, it allows you to properly -- if you wanted to renew your fleet, for example, without changing your leverage very much. As Chris was pointing out that even at very low rates, we'd still be generating tremendous cash flow. But -- so I think that's the best way to answer it.
Omar Nokta: Clearly, that's helpful. And I guess maybe just a follow-up, and I'll pass it on is a question that's come up in the past. And when does it make sense, do you think, to start buying ships to offset perhaps some of the sales of the older ones? You clearly got critical mass, but are you content to keep kind of scaling back a bit, selling some more of the older ones without replacing?
Robert Bugbee: I think we have a different situation right now. We're very soon. We're getting to that primary objective where we get, we're able to create that balance sheet, take the debt right down. And Vick and Chris are showing outlines whereby we can pre-bet principal, et cetera, lowering that cash down. So that part is kind of finished. So now you're really left to mathematics. Mathematics would be -- I'll give you an example is we don't need to renew for renewal sake. There's no point in that. We also have consistently said that we are confident in the product market. Our last call was we are confident that the latter half of the year will be very strong and that the fundamentals are there and that's playing out. And Lars will probably go into later, the market is, as we expected, strengthening and strengthening quite significantly now across the tanker space. So, we have no necessity. So, it's a question of choice. So unless the easiest position one could look at is, let's say, you could get a great -- it's where the curve is, you might be able to get a great price for older vessels in your fleet, for example, and then maybe you get a place in line with somebody, you're not necessarily you ordering yourself, but you may be able to get a prompt new vessel or a delivery or something like that, where mathematically, the curve is such that your newer vessel has far greater value, both in its operational specification and age compared to the older vessel, which older vessels as they start to move towards 15, we haven't got many of those left. But as they do, they start to depreciate like options do much more rapidly. But that's a mathematical example. So, I think now that I don't think you -- but at the same time, we -- if someone offered us a great price for our older vessels, sure, we would sell them because that's the smart thing to do to maintain the optionality. I think the optionality for a company in shipping, anybody, whether it's investors or its companies is the value of that optionality is underrated strategically.
Operator: The next question comes from Ken Hoexter with Bank of America.
Tim Chang: This is Tim Chang on for Ken Hoexter. Obviously, been a very constructive market for product tankers fundamentally recently with record levels of seaborne exports. How do you see rates progress -- is there a way you see rates progressing higher than levels with little under half of the days booked quarter-to-date? And maybe just a little bit more color on what pushes them there over the next 40 to 60 days. I know you've spoken to the OPEC production cut unwind, increased sanctions, the seasonally stronger period. Maybe some more detail on how importers of Russian product would be seeking alternative products.
Robert Bugbee: Lars, do you want to take that?
Lars Nielsen: Yes, sure. I mean just take a step back first. Q3 has kind of surprised to the upside. We haven't seen as much of a seasonal summer lull as you normally would do. There were a lot of refineries that were kind of in turnarounds, and we anticipated a drop in rates across the board. We did see that drop in rates, and we're at the tail end of those refinery turnarounds now. And I think we have another 5 million barrels of capacity that's coming on stream in November. That's going to supercharge the clean market. But there's a combination of factors to why I'm quite constructive the product tanker market. First of all, OPEC has played a role in terms of starting to come to market with opening up the taps the whole issue around Russia has become a really important thing as you look at how now the Americans have also come in to sanction the barrels. And those sanctioning barrels have certainly had a market follow-through on the crude markets. If you look at the crude markets first before going to products, the VLCC markets today have ramped up to a very high level, so has the Suezmaxes and the Aframaxes as well. We have also seen a sudden change in interest from LR2 owners to move into Aframaxes count from September, probably around 18 ships have already dirtied up. It wouldn't surprise me that there's going to be another 5 or 10 ships in a short order that's going to start moving into the Atlantic Basin into dirty. This obviously will kind of tighten the product market as well. So you've got more product coming into the market. You've got a tightening of supply. And the market that where the product is coming is primarily the AG and also the U.S. Gulf, where we're going to start seeing a lot of ton mile movements because of the sanctioning of barrels that people are now going to start securing supply from further afield. I mean Brazil is now taking more product out of U.S. Gulf rather than the Russian barrel and so on. It is clear to me that we are just on the cusp of the bottom of that market. The LR2 market has moved up tremendously and will continue to do so. I envisage over the next couple of weeks. The -- and that's both from the Middle East going West, and that's Middle East going East TC1, but it's also certainly the West moving to the East, which has also moved up progressively over the last week. The same thing goes also with a very strong but volatile market in the U.S. Gulf, and we can see underlying strength as the utilization level of the refineries are starting to creep up after their turnarounds in the U.S. Gulf and then underpinned by this longer-haul business. So there is all the ingredients for the market as we move properly into Q4 to see a certain rebound. And it's now firing on all cylinders. It's not only on the crude, which has been the headline over the last 48 hours, but it's certainly -- I can see on the product market as well, we're going to see a strong ramp-up into Q4 proper. At the same time, I would also just add, this is an interesting combination because what we have seen in years gone by as we move into January and February, people talk about cannibalization of newbuilding with virgin tanks from Via Suezmaxes, Aframaxes that are not coated, which I have to be honest, it's very few today because everybody is building Aframaxes with coated tanks due to the price. But those vessels probably with the market trading TD 3 at worldscale 125 will probably think twice to take on a clean cargo at a discount at a lower demurrage rate than trading $140,000, $130,000, $130,000 on pure round voyage. So, I also envisage a lesser degree of cannibalization, which will also underpin a very strong follow-through as we move into Q1.
Robert Bugbee: If I could just add to that. So, I think what Lars on behalf of the company is saying, so we now -- he's now moving or we are moving as a group from the last, let's say, public discussion that we were confident that the market would strengthen into the end of the year. Lars is now creating a position where we see that there's a strong chance now of the market being very strong into the first quarter as well and through that first quarter because of the dynamics he's outlaid.
Operator: The next question comes from Chris Robertson with Deutsche Bank.
Christopher Robertson: I just wanted to turn towards -- you guys mentioned you had extensive number of dry docks completed during 2025. I wanted to touch on that just in terms of asking what types of uplifts and efficiency that you've realized from those dry docks this year? And is that translating into slightly higher rate premiums? Or can you speak to the details around that?
Emanuele Lauro: Sure. I'm happy to take that. The dry docks and themselves did not -- did not involve a great deal of CapEx because we already think the designs for our vessels are sufficiently economical, fuel efficient, et cetera. Really, it's much more about general maintenance, the coatings of the vessels, the friction, not only exogenous but endogenous to the hull and getting that back to a place where you're really resetting the vessel back to something similar to what it was 5 years before. The effect and the bottom-line impact is immediate, like I said, because you're basically resetting the ship to a condition it was 5 years before. But until we have line of sight on the return of a host of additional CapEx possibilities and what the returns actually mean, there's a lot of hyperbole smoke and mirrors about uplifts and other efficiency steps one could undertake. But until we really have line of sight and the benefit of more data in that area, we're not going to be spending shareholders' money on those types of gambles.
Christopher Robertson: Got it. Interesting. Okay. My next question is just related to Chinese export quotas for next year, if you guys have a view around the increasing amount of refining capacity in China, it doesn't seem to have kept pace with kind of the quotas being kept flattish this year, slightly down. Do you have a view around next year and what they might do? And do you think there's a possibility that we'll see increased quotas from China next year?
Robert Bugbee: I'll start and then maybe go ahead, James.
James Doyle: Thanks, Lars. Maybe, Lars, you can add. So, we saw the last quota increase in September, which is, as you highlighted, Chris, pretty consistent with what's been announced in the past. I think the interesting part is if you look at -- when you look at the Chinese data, total crude imports and domestic production were around 15.9 million barrels in September and runs were 15.4 million. So, the crude build was only about 400,000 to 500,000 barrels per day. So, to answer your question, I think we would need to see it in the crude volumes first. But a lot of this production and quota system is really determined by the government. And in previous periods where crack spreads 2 years ago were very, very high, they didn't export. So it's a tough one for us to kind of predict.
Operator: The next question comes from Liam Burke with B. Riley FBR.
Liam Burke: You've been very clear about the benefits of deleveraging and your plans to do so and the reasons why. But where do buybacks come into the capital allocation equation as we move forward here?
Robert Bugbee: I don't think we'd ever say when the buybacks come into the equation. We have the ability to act whenever we want to. And we're not going to wave a flag and say, "hey, guys, this is when we're going to buy back. And let me remind you, we're $2 away for that or we're $100 million of cash away from that. That's not material. I think we'll pass on that question, if you don't mind.
Liam Burke: Okay. That's fair. And then as we go into the stronger period, sometime we have 30 tankers trading clean. Is that going to be just part of the everyday business? Or do you anticipate strength in the crude market to keep those -- that part of the fleet dirty?
Robert Bugbee: Lars?
Lars Nielsen: Yes, the short answer to that, Liam, is yes. We anticipate that. It's quite expensive for a VLCC to clean up to trade clean. The last time we saw that was, of course, when the LR2 market suddenly spiked to about $8 million for an AG West run and the VLCC market was languishing at around $20,000 a day, where the spread was so wide that it was beneficial for a VLCC owner to clean up. That margin certainly has flipped. There is no VLCC owner or Aframax owner that's going to go and think about cleaning up at this point in time. It certainly is going to be the other way around. And we will start seeing, as I said earlier, probably a number of more ships going into the dirty market, further restricting supply on LR2s.
Operator: The last question comes from [ Jonas Shum ] with Clarkson.
Unknown Analyst: So looking at the broader shipping space, there's been quite a bit of deleveraging across most segments, I would say. But you have been really kind of leading the way. You've been cutting net debt from around $3 billion in 2021 to less than $300 million today. And if you include the transactions that are set to close, I guess, this quarter, it looks like you could kind of be in a net cash position already by this year's end. And at the same time, you also have kind of a relatively young fleet compared to the sector average. So my question, as you now reach this kind of very conservative leverage profile with still a young fleet, is there any kind of limit to how low leverage you would like leverage to go? And -- and I guess that is also kind of related to Omar's first question. How should we think about kind of your considerations around fleet renewal versus growth and the shareholder returns? How will you balance this going forward?
Robert Bugbee: I think that -- I think, first of all, to sort of echo what I said to -- first, by the way, thank you very much for your credit report. It was -- we thought it was very constructive and very well done. So, I'd like to echo what I said to Omar earlier that or somebody earlier that I think people underestimate the value of optionality and a strong balance sheet, an increasingly strong balance sheet provides great optionality in different circumstances. You can always buy ships. You can always buy stock. But sometimes people very rarely as the public side of the shipping industry had the ability to take opportunities of geopolitical crisis, almost never. And many times, those crisis themselves have resulted in bankruptcy of public shipping companies or severe stress. And right now, we have indicated over and over again that we consider that there is a high degree of geopolitical and economic uncertainty out there. Only yesterday, I mean, the Fed itself in the United States doesn't know whether it's coming or going. It goes from, oh, we're going to have 2 more interest cuts before the end of the first quarter to, well, we have to warn you, we may not even have one in December. And they can't -- they're still trying to balance between inflation and potential recession. And that's not to mention all the other things in the world that are worrying and you've got countries in Europe and a lot of crises. We are extremely confident in the actual product market itself. And we are uncertain in the geopolitical position. So at this particular point, theoretically, there isn't much of a limit at the moment. You could just pile on cash every single day. There's no urgency to buy stock. There's no requirement to as you pointed out to buy other assets. But you have the ability to do both depending on what situations there are and how your whole view looks at the moment. There's no rush. I mean it's not the bad. We've only just achieved this position that's pretty special. So, I don't think there's any -- I don't think I've ever seen a public shipping company that's had too much cash. I really haven't.
Unknown Analyst: That's a good point. Yes. And then in terms of -- just more of a housekeeping question, I guess. You have agreed with your banks to prepay $155 million of debt. Is that -- could you kind of break that down in the different facilities? And how much will then be available for free liquidity?
Chris Avella: Sure. I'm happy to do that in terms of the facilities. It's -- we have our $94 million credit facility, that's $19 million, our $1 billion credit facility, that's $92 million, our $117 million credit facility, that's $34 million and our $49 million credit facility, that's $9 million. Of that amount, $7 million is going to be revolving. So, it will be paid into part of the revolving facilities. The rest is term debt that we cannot redraw. I hope that answers your question?
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Emanuele Lauro for any closing remarks.
Emanuele Lauro: Thank you. I don't have any closing remarks apart from thanking everybody for the time dedicated to us today and look forward to catching up soon. Thanks very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Thank you.